Operator: Ladies and gentlemen, thank you for standing by. My name is Desiree, and I will be your conference operator today. At this time, I would like to welcome everyone to the Bio-Rad Third Quarter 2025 Results Conference Call and webcast. [Operator Instructions] I would now like to turn the conference over to Edward Chung, Head of Investor Relations. You may begin.
Yong Chung: Good afternoon, everyone, and thank you for joining us. Today, we will review the third quarter 2025 financial results and provide an update on key business trends for Bio-Rad. With me on the call today are Norman Schwartz, our Chief Executive Officer; Jon DiVincenzo, President and Chief Operating Officer; and Roop Lakkaraju, Executive Vice President and Chief Financial Officer. Before we begin our review, I would like to remind everyone that we'll be making forward-looking statements about management's goals, plans and expectations, our future financial performance and other matters. These statements are based on assumptions and expectations of future events that are subject to risks and uncertainties. Our actual results may differ materially from these plans, goals and expectations. You should not place undue reliance on these forward-looking statements, and I encourage you to review our filings with the SEC, where we discuss in detail the risk factors in our business. The company does not intend to update any forward-looking statements made during the call today. Finally, our remarks today will include references to non-GAAP financials, including net income and diluted earnings per share, which are financial measures that are not defined under generally accepted accounting principles. In addition to excluding certain atypical and nonreoccurring items, our non-GAAP financial measures exclude changes in the equity value of our stake in Sartorius AG in order to provide investors with a better understanding of Bio-Rad's underlying operational performance. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings release. We have also posted a supplemental earnings presentation in the Investor Relations section of our website for your reference. With that, I'll now turn the call over to our Chief Operating Officer, Jon DiVincenzo.
Jonathan DiVincenzo: Thank you, Ed, and good afternoon, everyone. Thank you for joining us today. We are pleased to share Bio-Rad's third quarter 2025 results, which reflects solid execution across our business. Revenue was consistent with our outlook and operating margin exceeded consensus, a testament to the discipline and agility of our teams in what continues to be a challenging and evolving macro environment. Our Clinical Diagnostics segment remains stable across our product areas, aside from the reimbursement rate headwind in China, which we expect to annualize in the fourth quarter. In our Life Science segment, process chromatography delivered a strong performance, helping offset the continued softness we're seeing in academic research and biotech funding. Many research customers continue to face uncertainty and are cautious with their budgets. This sentiment was reflected through continued weak instrument demand and some softness in consumables. However, through disciplined cost management and tight control of our discretionary spending, we achieved margin outperformance for the quarter. We also made meaningful progress advancing our Droplet Digital PCR strategy. During the quarter, we completed global sales training on our new QX platforms, and our teams are actively engaging customers. While it's still early, we are encouraged by the customer receptivity to the new products, particularly in the entry-level segment. Our sales funnel for these new systems is building nicely, but we recognize that selling cycles remain extended given the broader funding climate. We also continue to expand our ddPCR-based diagnostic strategy through 2 key partnerships, Gencurix and Biodesix. Gencurix made Bio-Rad the exclusive distributor of their Droplex oncology testing kits across Europe. This partnership leverages our strong commercial footprint in the region and helps accelerate the adoption of ddPCR-based cancer tests. We also expanded our partnership with Biodesix to provide greater access to critical biomarker testing for advanced breast cancer. Biodesix is validating our ESR1 assay in its CLIA-accredited labs, and offering testing services for its customers. Operationally, our teams continue to execute well, advancing our lean initiatives and maintaining cost discipline. In summary, we're pleased with the progress we're making, balancing near-term execution with continued investment in innovation and long-term growth. And with that, I'll turn the call over to Roop, who will take you through our financial results in more detail.
Roop Lakkaraju: Thank you, Jon, and good afternoon. I'd like to start with a review of the third quarter 2025 results. Net sales for the third quarter of 2025 were approximately $653 million, which represents a 0.5% increase on a reported basis versus $650 million in Q3 of 2024. On a currency-neutral basis, this represents a 1.7% year-over-year decrease and was driven by both our Life Science and Clinical Diagnostics segments. Sales of the Life Science segment in the third quarter of 2025 were $262 million compared to $261 million in Q3 of 2024, essentially flat on a reported basis and a 1.5% decrease on a currency-neutral basis, driven by the constrained academic research and biotech funding environment. Currency-neutral sales decreased in the Americas, partially offset by increased sales in Asia Pacific and EMEA. Within the Life Science segment, our process chromatography business experienced strong double-digit growth on a year-over-year basis due to the timing of customer orders within the quarter. As a result, we expect fourth quarter process chromatography revenue to be lower sequentially and on a year-over-year basis. For the full year 2025, we expect high teens growth for this product area versus our prior low double-digit growth outlook. Excluding process chromatography sales, our core Life Science segment revenue decreased 6% year-over-year and 7.8% on a currency-neutral basis. The softer Q3 performance reflects ongoing softness in the academic research in biotech end markets as well as the tough compare due to large onetime orders in the year ago period. Sales of the Clinical Diagnostics segment in the third quarter of 2025 were approximately $391 million compared to $389 million in Q3 of 2024, an increase of 0.6% on a reported basis and a decrease of 1.8% on a currency-neutral basis. The decrease is primarily because of the previously discussed lower reimbursement rates for diabetes testing in China. On a geographic basis, currency-neutral sales decreased in Asia Pacific, partially offset by increased sales in the Americas and EMEA. Q3 reported GAAP gross margin was 52.6% as compared to 54.8% in the third quarter of 2024. On a non-GAAP basis, third quarter gross margin was 53.5% versus 55.6% in the year ago period. The decrease in gross margin was due to higher material costs and reduced fixed manufacturing absorption. SG&A expense for the third quarter of 2025 was $207 million or 31.7% of sales compared to $200 million or 30.8% in Q3 of 2024. Third quarter non-GAAP SG&A spend was $202 million versus $197 million in the year ago period. The year-over-year increase in SG&A expense was due to higher employee-related costs. Research and development expense in the third quarter of 2025 was $71 million or 10.9% of sales compared to $91 million or 14% of sales in Q3 of 2024. Third quarter non-GAAP R&D spend was $70 million versus $91 million in the year ago period. The lower year-over-year R&D was primarily due to higher in-process R&D charges associated with an acquisition in the third quarter of 2024. Q3 operating income of approximately $65 million or 10% of sales was flat versus Q3 of 2024 on both a dollar and percentage basis. On a non-GAAP basis, third quarter operating margin was 11.8% compared to 11.3% in Q3 of 2024, reflecting proactive cost actions we've taken in managing the business and net reductions in IP R&D expense. The change in fair market value of equity security holdings and loan receivables primarily related to the ownership of Sartorius AG shares contributed $398 million to our reported net loss of $342 million or $12.70 per diluted share. Non-GAAP net income, which excludes the impact of the change in equity value of the Sartorius shares was $61 million or $2.26 diluted earnings per share for the third quarter of 2025 versus $56 million or $2.02 diluted earnings per share for Q3 of 2024. Moving to cash flow. For the third quarter of 2025, net cash generated from operating activities was $121 million compared to $164 million for Q3 of 2024. Net capital expenditures for the third quarter were $32 million and depreciation and amortization for the third quarter of 2024 was $44 million. Free cash flow for the third quarter was $89 million, which compares to $123 million in Q3 of 2024. For the first 9 months of 2025, we generated free cash flow of $256 million, resulting in a year-to-date free cash flow to non-GAAP net income conversion ratio of 126%. We remain on track to deliver full year free cash flow of approximately $310 million to $330 million for 2025. During the third quarter, we purchased 212,578 shares of our stock for a total cost of $53 million or an average purchase price of approximately $249 per share. Year-to-date, we have retired 1.2 million shares through our buyback program, at a total cost of approximately $296 million. We will continue to be opportunistic with share repurchases and still have approximately $285 million available for additional buybacks under the current Board authorized program. Moving on to the non-GAAP guidance for 2025. We are maintaining our 2025 full year outlook with total currency-neutral revenue growth to be in the range of flat to 1%. Our full year 2025 non-GAAP gross and operating margin outlook also remains unchanged at 53.5% to 54.5% and 12% to 13%, respectively. While we don't provide quarterly guidance, we are offering some commentary to help frame what we're seeing in the current operating environment. On the Life Science side of our business, we continue to anticipate a modest revenue improvement in the fourth quarter. We do not expect any budget flush as research customers remain cautious with spending due to the uncertainties surrounding the final NIH budget and the U.S. government shutdown. While it's encouraging to potentially have a relatively flat NIH budget for next year, we remain cautious on the pace of recovery for the academic segment heading into 2026. We continue to believe it will take some time for researchers to regain confidence in the longer-term funding outlook. Additionally, we continue to anticipate a gradual improvement with biotech customers. With respect to our Diagnostics segment, we expect to return to growth in the fourth quarter with the China reimbursement headwind annualizing as well as the expected timing of revenue from our quality controls portfolio. While we aren't currently anticipating additional reimbursement challenges in China heading into 2026, we continue to see a soft macro environment in that region, which could dampen demand for our clinical Diagnostics products. On margins, we continue to anticipate a slight step-up in the fourth quarter gross margin, primarily driven by mix of revenue. Combined with our continued focus on effective cost management, we expect operating margins to improve sequentially by at least 80 basis points. That concludes our prepared remarks. We will now open the line to take your questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Patrick Donnelly with Citigroup.
Patrick Donnelly: Maybe one for you, just given those last comments there. Can you talk about the expectations for 4Q? Obviously, you have the government shutdown, as you touched on. You have some of the process chrome pull forward or bolus of strength there in the last couple of quarters. Maybe just talk about the ramp into 4Q, the assumptions there would be helpful.
Roop Lakkaraju: Yes, absolutely. So I think from both Life Sciences and Diagnostics have a slight uptick on both sides of the business. So that's nice to see. I think from a Life Science standpoint, obviously, as we talked about, we got process chromatography gives us a little bit of a headwind in the fourth quarter. With that taken into account, obviously, we've got some strength in ddPCR that we're expecting in that fourth quarter. So that helps lift that a little bit. In the diagnostics side, it really is about the quality controls area that we've spoken about in past quarters. We still expect to see that jump up based on those lot leases, and we're still driving towards that. So that's kind of the trajectory and how we see the fourth quarter unfolding.
Jonathan DiVincenzo: And maybe I can just add, this is Jon DiVincenzo. We're almost done here with October, and it seems like our demand was on plan. So we feel pretty good about that. It's something we're monitoring very closely. There is a little bit of ramp here. But between Clinical Diagnostics and Life Sciences, they're off to a pretty good start this quarter.
Patrick Donnelly: Yes. Understood. Okay. And then I know it's preliminary, but obviously, everyone's kind of framing up '26 to a degree. Any initial thoughts there, guys, as you look into year-end, maybe even if it's just higher level moving pieces. You talked about China diagnostics, academic government, how are you thinking about the market in '26 and any moving pieces we should be thinking about on the revenue side?
Roop Lakkaraju: Yes. I think that's why I tried to frame a little bit of those comments towards the end of the guidance section of my prepared comments, Patrick. I think academic here in the U.S., AG is still cautious. And so it's TBD a little bit with how NIH budget comes out and kind of the ramp into '26 and how researchers really spend money into '26. I think the good thing is instruments are the ones that have been most greatly affected. Consumables have still been kind of chugging along. I think throughout the rest of the globe, China continues to be an open question. From our standpoint, we've talked about no VBP historically. DRG is something we've mentioned previously, which is a little bit of an impact, but not a significant impact. And then when we think about biotech, we kind of look at biotech as something that slowly, gradually improves as we get into '26. And then process chromatography, obviously, we've had a very strong year this year in '25. Part of that, quite honestly, is an easy compare to '24. Part of it is getting back to a little bit more normalization, I think. As we think about it longer term, I think we've said this to all of you in the past, we expect that to be kind of a high single-digit sort of growth rate, and we still think that, that's reasonable for '26 based on what we see. But again, we're still going through our planning cycle. We will give obviously specific 2026 guide in our February call. But at least that's some framing comments for you all.
Patrick Donnelly: That's really helpful, Roop. I appreciate that. And maybe last one, just the ddPCR side, it sounds like, again, process chrome you're feeling better about. Maybe just talk about digital PCR, what the market looks like and just thoughts going forward into next year on that piece.
Jonathan DiVincenzo: Yes, this is Jon DiVincenzo again. We feel very good. Our commercial team is very, very excited. We expanded the commercial effort we have on that side. We have good reception overall of the new products, and we're expanding our assays. And as we move forward with these partnerships, we expect a little upside there on the diagnostics portion of the marketplace. So very positive overall feeling from our teams and from customers.
Roop Lakkaraju: I think with all the positive sentiment, to build on Jon's comment, I think it'd be great to get some of the instruments flowing through from a broader market standpoint and not being as soft as it's been. And so we're excited about all of the pipeline development and everything else. And so...
Operator: Our next question comes from the line of Dan Leonard with UBS.
Daniel Leonard: Follow-up on fourth quarter. I just want to check my math. I think the total year guidance implies a range of 1% to 5% organic growth assumed for Q4. I want to make sure that's right. And if it is, if you could talk about the magnitude of the range, what's embedded at the high end versus the low end? And how have you tried to embed a government shutdown assumption into that figure?
Roop Lakkaraju: Yes. So Dan, I guess from the standpoint of -- I'll start with maybe the government shutdown. We obviously have seen that evolve here in October. And so our fourth quarter kind of contemplates that within our overall guide. I think with the moving pieces we have overall, we still felt good, obviously, in holding the guide for the full year, recognizing some of the comments I made around Life Sciences and Diagnostics sequentially getting better from Q3 to Q4. I think from a range perspective, I guess I'll kind of reiterate the guide overall as we think about it, right? We came into the quarter. I think folks were concerned about what that fourth quarter ramp could look like for us. Q3 came out fairly on target, if you will, for us, which gave us confidence in the fourth quarter, and that's why we felt comfortable holding that guide of 0% to 1% from a full year top line standpoint. And then keeping the margins, both gross and operating margin in line with the operating margin still at between that 12% to 13%. So you can see based on that last part, we're expecting sequential improvement in the operating margin from Q3 into Q4.
Daniel Leonard: Okay. And Roop, I wanted to revisit your framing comments for process chromatography for 2026. So the comment that, that ought to be a high single-digit grower, does that reflect your view that market has fully returned to normalization at this point? And just love to hear your thoughts on that given the historical volatility of process chrome.
Roop Lakkaraju: Yes. I mean, I think the volatility is still there in terms of -- and we saw it this year in terms of moving between quarters, right, customers wanting to pull forward. I think that just speaks to the market demand of their therapeutics and how they want to profile and bleed in those therapeutics into their marketplace. So it is still volatile. With that said, we don't have an easy compare any longer for '25 and from '25 to '26. And as such, I think that normalization back to the high single digits is kind of where we're pointing to and what we want to execute to.
Daniel Leonard: And final cleanup. Could you quantify the diabetes pricing headwind in China on the quarter, just so I could better understand when that goes away and lapse, what the incremental benefit would be?
Patrick Donnelly: Yes. I mean I think the simplistic way to think about it is -- and remember, last fourth quarter, we had 2 components to our headwind. One is the cutting of the price because China cut it in early and they did it in the middle of the quarter. So that was kind of mid-single-digit sort of number about. But then we also had some channel kind of cutting that we needed to do, which is another kind of low to mid-single-digit type of number. So that's how to think about it within what was there last year.
Operator: Next question comes from the line of Brandon Couillard with Wells Fargo.
Brandon Couillard: Roop or Jon, I'd like to come back to ddPCR. Any color you can share on just instruments versus consumables in the third quarter? Do you still expect that franchise to be flat for the year? And was the integration at all disruptive to revenues in the period as you kind of retrained the sales force?
Jonathan DiVincenzo: Yes. I think the last part, i don't think integration was disruptive. I think there was excitement about the expanded portfolio and the demand for demos extended some of the activity in the field. But the pipeline is growing nicely. I think it's a matter of a little bit extended sales cycles and the anticipation of those products coming to the market and customers just want to see it and kind of compare some data of our legacy products and the new products in the marketplace. So I don't think there was a disruption. We still believe we're going to be on plan for the full year for the portfolio. Consumables were a little slow in the third quarter. We expect that to come back in the fourth quarter, and we certainly see a rebound of the instrumentation now Q4 and into 2026.
Brandon Couillard: Okay. And Roop, I appreciate the kind of top line commentary around some moving parts in '26. I'm curious like if growth remains, let's say, the low single-digit range, can you expand margins next year on that type of revenue growth? And what are some of the moving parts we should think about in the P&L? I mean, on one hand, the incentive comp won't be as significant of a headwind, maybe still accretion gets a little better, tariff headwinds maybe come down. What are some of the pieces to think about for next year?
Roop Lakkaraju: Yes, of course. Thanks, Brandon. Yes, I mean, listen, we've kind of said we'd like to be in that low -- kind of to that, let's call it, 3% to 5% growth on an annual basis. That would be ideal getting to 3% kind of allows us for getting more effective absorption and margin expansion from that standpoint. I think with all that said, we do have opportunities for margin expansion in '26 beyond where we were in '25, and that's quite honestly what we're working on. As you think about the components of it, I think part of it is -- really comes into some of the initiatives we have from our operational standpoint, the lean initiatives and the progress we're making from our overall productivity within our factories. I think other parts, we've got longer-term logistics improvements that we continue to drive and execute. One thing that I think is largely untapped. We've gotten some benefits out of this, but there's further work our supply chain organization is doing on buying power leverage, and that's an opportunity for us next year. And then of course, from an OpEx standpoint, driving higher levels of productivity, whether that's in the R&D side or other functional areas within OpEx. And so we're really looking to drive that. And so we would be seeking to drive margin expansion for next year. Obviously, we'll talk a little bit more about that at the year-end call.
Operator: Next question comes from the line of Tycho Peterson with Jefferies.
Tycho Peterson: I want to stress test your kind of assumptions around China in '26. We have heard from others, Danaher and Roche, that VBP will spill over. Can you maybe just talk about why you don't think you're going to have China diagnostic headwinds next year?
Roop Lakkaraju: Yes, Tycho. So first of all, others have spoken about VBP. I think we've been pretty clear. VBP hasn't been necessarily an effect for us this year. I think there are some things from a headwind standpoint, just the macro market within there is something to call out. I think part of our strength in China lies in our quality controls, and we expect to see that continue to be strong next year. And that's probably the strongest component of the offset to some of those headwinds from a broader. And the other part is, from a macro standpoint, if China macro improves, I think all boats rise at that point for not just us, but possibly others, and that's the other piece.
Tycho Peterson: Okay. And then looking at Life Science, backing out process chrome kind of down high single digit. Can you maybe -- was this all kind of just the funding backdrop or how did it play out, I guess, relative to your own expectations?
Norman Schwartz: Yes. I think it did meet our expectations. But one of the things you have to think about when you're comparing this year to last year, kind of neutralizing, you need to neutralize for some one-timers that we had last year. So kind of if you neutralize for that, we're actually a couple of percent growth for the quarter. [indiscernible] process.
Jonathan DiVincenzo: Right. And really, the pressure is in North America. EMEA is actually holding strong for us overall. So that's a good balance overall in our portfolio of market share outside of China, Korea remains strong. So really, we see the pressure in the U.S. as most folks in our industry.
Tycho Peterson: Great. And then last one, Jon, I know you had a number of questions on digital PCR. Are you able to talk about to what degree you're getting written into budgets, which presumably is a good leading indicator to orders here? I mean, I guess, post the launch, what's your visibility in terms of kind of what's being baked into budgets?
Jonathan DiVincenzo: Yes. It's hard to say exactly what baked the budgets or what's already there. But I would just refer back to the pipeline, which is growing quite strongly. We have huge demand for us to perform demos, as I said previously. So all of those are good indicators. I don't have in front of me kind of -- these typically aren't big tenders or so large of investments that have to be planned a year or so out. So we feel pretty good about just overall the demand, Tycho.
Operator: Next question comes from the line of Jack Meehan with Nephron Research.
Jack Meehan: I wanted to follow up on where you just left off on digital PCR. I was wondering if you could talk about both QX Continuum and Stilla, just in terms of the demo activity, how is the funnel building for 2026? And sorry if I missed this, but any change in your revenue contribution assumption for the second half?
Roop Lakkaraju: So Jack, I guess, from a revenue contribution standpoint, we're still driving towards kind of these single millions that we talked about before. Obviously, we'd love for the broader market to cooperate a little bit more, but that's still what we're driving towards and funnel development, we feel good about. In terms of Continuum and QX, both have gotten very strong feedback from customers and interest, that's been actually incredibly encouraging for us. Obviously, from a QX standpoint, as you know, we've got 3 flavors of it. Probably the ones that is getting most interest, not surprisingly because of the macro backdrop is on the lower end where the feedback we've gotten is it's incredibly competitive to maybe others out in the marketplace, and that's encouraging for us and also for our customers.
Jack Meehan: And then I just wanted to dig into the -- what you're seeing in the Americas and Life Sciences a little bit more. It sounded like things got like a little progressively worse sequentially. What do you think that is? Is it kind of like the delayed impact of some of the ramp pressure from earlier in the year? Do you think it could have been some pull forward earlier in the year? I would love just like what you're hearing from customers in terms of buying patterns.
Jonathan DiVincenzo: Yes, Jack, I think it's just an overall slowdown and many of the larger academic institutions really kind of tightened down their budgets, whether that's refilling head count that they had or other factors. Just people are in a bit of a malaise. It's also, obviously, the summer period there doesn't always help. But I just think it was a wait and see for a lot of the customers. We spent quite a bit of time getting this voice of customer sentiment, and that seemed to be the indication across several institutions in North America.
Jack Meehan: And then I think I heard you mention there might have been like a tough comp, some large orders in the prior year in the base Life Science business. Is it possible to quantify like what the magnitude of that? And the reason I ask is I'm trying to think going from 3Q to 4Q, Life Science overall is going to grow, process chrome takes a step down. So like it seems to embed kind of a reacceleration and everything else, just line of sight into that.
Roop Lakkaraju: Probably the way to -- I'm just trying to think about how best to answer your question, Jack. It's probably in the low double digits kind of number overall. Millions, yes.
Norman Schwartz: Gets you to low single digits growth. It's a way to think about it.
Operator: [Operator Instructions] There are no further questions at this time. I would like to turn the call back over to Edward Chung for closing remarks.
Yong Chung: Thank you for joining today's call. As always, we appreciate your interest, and we look forward to connecting soon. All right. Take care.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining, and you may now disconnect.